Alexander Foltin: Thank you. Good morning, and welcome, ladies and gentlemen. Also on behalf of the entire management board of Infineon, Reinhard Ploss, CEO; Dominik Asam, CFO; Helmut Gassel, Chief Marketing Officer; and Jochen Hanebeck, Chief Operations Officer. We will proceed as usual. Reinhard will start with some remarks on group and division results, market developments and quarterly business highlights. Dominik will then comment on key financials followed by Reinhard again, updating you on our guidance. After that, we will be happy to take your questions. In order to allow broad participation, we currently ask that you restrict yourself to one question and one follow-up. A recording of this conference call and a copy of our 2018 fiscal third quarter earnings press release and investor presentation are also available on our website at infineon.com. Reinhard, please go ahead.
Reinhard Ploss: Thank you, Alexander, and good morning, everyone. In the June quarter, our group revenues were €1,941,000,000, up 6% both quarter-over-quarter as well as year-over-year. With this, we have solidly met our guidance, taking into account the stronger-than-anticipated U.S. dollar. Our underlying growth momentum remained strong. At our constant U.S. dollar exchange rate, we would have grown by just over 10% year-over-year. Our segment result for quarter three was €356 million, an increase quarter-over-quarter by 17% and year-over-year by 5%. The segment result margins stood at 18.3%, which was slightly ahead of our guidance even when adjusted for currency effects. As in prior quarters, we saw a strong order entry and other signs of positive business dynamics, while continuous effort to ramp capacity allow us to better serve our customers and grow our revenue base. However, we could not fulfill demand in several product areas due to supply limitations, thus the growing order backlog leading to a book-to-bill ratio of 1.5. Let me put this into perspective. The power semiconductor market is currently in allocation. This typically leads customers to scramble for capacity and to aggressively place orders. Therefore, we are taking these numbers with a pinch of salt. Now to the divisions. Automotive revenues came in at €836 million for the quarter. This represents a 3% quarter-over-quarter increase and a 9% increase year-over-year. At our constant exchange rate, we would have grown 17% year-over-year. The segment result increased to €120 million from €116 million in the previous quarter, implying a segment result margin of 14.4%. Margin progression was limited given that a meaningful share of the incremental revenue came from products from electric drivetrain, which has not reached average margins yet. Furthermore, positive volume effects were dampened by increasing mainly ADAS-related R&D efforts. In recent weeks, there have been several signs of macro uncertainties affecting worldwide vehicle sales, such the threat of a tariff war or the introduction of a new certification procedure in the EU. Our Automotive business has driven substantially more by increasing content and per car by unit growth. We are seeing unchanged momentum, driven primarily by xEV and ADAS. The exceptionally high book-to-bill ratio of 1.6 is evident of this. In the same fashion, we keep winning new business across a broad range of our automotive target at risk. This classic applications, we were awarded the next-generation TPMS platform from major European Tier 1, the start of production in 2021 and the lifetime value in excess of €100 million. On the electric drivetrain side, a major North America Tier 1 selected an Infineon chipset for the xEV inverter platform for one of the world’s largest OEMs. The combination of an IGBT module with a driver and RX microcontroller and a power management IC is highlighting the strengths of our xEV system solution. The value of this design win is also more than €100 million. Thirdly, our offering for ADAS application saw good traction with customers. A large Japanese supplier choose our Rx2 microcontroller for its domain platform enabling sensor fusion in level two automated cars. Volumes will start to ramp next year with a low triple-digit euro-million lifetime value. As the first step into Automotive time of LIDAR applications, a major European OEM selected our 3D sensor chip for both, I guess, chip camera and an in-cabin camera for MBN sensing which can, for example, be used for occupant sensing. Let’s come to Industrial Power Control. There, we saw revenues of €349 million, an all-time high quarterly figure compared with €317 million in the March quarter. Quarter-over-quarter, this translate into a growth of 10%. Year-over-year, increase was 9%. At a constant exchange rate, IPC would have grown 11% year-over-year. While almost all application fields contributed to this development drives, major home appliance, wind and industrial power supplies saw particularly strong growth. We are continuously adding capacity to serve demand, yet various product classes remained in allocation. Order entry remained very strong, and the book-to-bill ratio came in at 1.4. The segment result for the June quarter was €71 million compared to €62 million in the prior quarter, yielding a segment result margin of 20.3%. Increased operational expenses offset some of the margin contribution from additional revenues. We see unabated momentum across applications with particular strength coming from an industrial automation and home appliances. Also, renewable energy is holding up well. The cut in feed tariffs, in China, that certainly lead to a short-term slowdown of photovoltaic installation there. However, some of that drop, they will be offset by demand from other regions, and also wind, power and energy saving applications are showing encouraging signs. From a regional perspective, we see significant business opportunities in Japan and are currently building a meaningful project funnel with customers there. In Power Management & Multimarket, we posted revenues of €580 million, 7% up quarter-on-quarter. Compared to the same period last year, revenues increased by 4%. At a constant exchange rate, PMM would have grown 11% year-over-year despite the revenues lost due to the divestiture of parts of the RF power business to creep towards the end of the previous quarter. The PMM segment result came in at €137 million. The segment result margin stood at 23.6%. In the prior quarter, the segment result had amounted to €108 million for a segment result margin of 19.9%. Certain nonrecurring effects related to provisions and inventories had a single-digit million euro positive impact in this quarter. The power business is benefiting from additional production capacity coming online yet remains supply constrained. Somewhat related to this, strong order entry is leading to a book-to-bill ratio of 1.8. Strong demand drivers can be seen across a multitude of applications. China and Southeast Asia are witnessing a proliferation of e-scooters and electric low-speed vehicles. Big data calls for hyper scale data centers with power levels per server of 1,600 watts and above. More and more power tools are becoming cordless and are moving to even higher power levels and to large batteries. Wireless charging of smartphones become a market standard. The growing human machine interface market, we recorded business wins with our industry leader, silicon microphones and Class D audio amplifiers, which will be delivered into voice control devices like smartspeakers of two major North American artificial intelligence heavyweight. Now I look at Chip Card & Security. The segment increased revenues by 7% from €164 million in quarter two to €175 million in quarter three. Year-over-year, this represents a decrease of 5% or 2% down assuming a constant U.S. dollar exchange rate. All business areas, including payment, TPM and authentication, contributed to the sequential quarterly revenue growth. The book-to-bill ratio stood at 0.8. The segment results stood at €29 million, equivalent to a segment result margin of 16.6%, slightly up from the prior quarter. While the market environment remains challenging for the foreseeable future, we could secure several project wins as mid-term relevance. Among them, one at a major PC manufacturer with OPTIGA TPM solution. Overall, Chip Card & Security is currently doing about 1/4 of its business with software-enabled solution underscoring our system competence. Our IoT security solution continued to see traction with several project wins at various OEMs engaged in different verticals, including smart home, industrial and networking equipment. In order to help develop in new projects to IC security in self-driving cars, Infineon believe the research aligns set for car’s security for connected autonomous cars of [indiscernible] industry and academia partners. With this, I would like to hand over to Dominik who will lead you through our key financial figures.
Dominik Asam: Thank you, Reinhard, and good morning, everyone. Our sequential revenue growth rate of 6% in the June quarter benefited from about 2 percentage points of currency tailwind. The average U.S. dollar-euro exchange rate declined from $1.23 in Q2 to $1.19 in the June quarter. We can still apply our usual rule of thumb of a €0.01 change in the exchange rate translating into a €9 million revenue impact per quarter. However, year-on-year, the U.S. dollar continued to cause some headwind as it depreciated by about 8% compared to the average exchange rate of $1.10 in the June quarter 2017. For sake of comparison with our competitors, this implies year-over-year growth of more than 14% for the third quarter in U.S. dollar terms. Please note that going forward, we expect to see mid-to high single-digit million euro amounts of revenue in other operating segments, reflecting certain services we will render to cree in the aftermath of the divestiture of parts of our RF power business. Gross profit increased to €742 million for gross margin of 38.2% after 37.1% in the March quarter. Research and development expenses and selling, general and administrative expenses came in at €218 million and €210 million, respectively. The net operating income amounted to €5 million. We incurred €37 million of non-segment result charges. Of that amount, €32 million are International Rectifier acquisition-related amortization and other charges; €18 million of the non-segment result charges hit our cost of goods sold; €2 million, R&D; and €17 million, SG&A. Excluding acquisition-related and all other non-segment result effects, the adjusted gross margin stood at 39.2% compared with 38.0% in the prior quarter. Depreciation and amortization, including non-segment result effects increased from €211 million to €219 million. Therein, €24 million and €26 million, respectively, relate to amortization and depreciation of fair value step-ups from the allocation of the purchase price for International Rectifier. So the portion of depreciation and amortization, which hits our segment result, increased from €187 million to €193 million, reflecting the increasing levels of investments in property, plant and equipment we need to make to cope with the unabated demand by our customers. Continuing with tax. In the June quarter, we incurred an income tax expense of €49 million as compared to €62 million in the previous quarter, which had included the tax on the gains sale of the RF power business. The effective tax rate was 16%. For the entire fiscal year 2018, a cash tax rate of 15% remains a reasonable assumption. Free cash flow from quick continuing operations came in at €192 million after €334 million in the previous quarter, which included the proceeds from the sale of parts of the RF power business. This sale is also reflected in a quarter-over-quarter comparison of our reported after-tax return on capital employed, which came in at 17.0% after 31.2% in the March quarter. Return on capital employed furthermore continues to be strongly affected by bookings related to the acquisition of International Rectifier, in particular goodwill, fair value step-ups and the context of the purchase price allocation and the related depreciation and amortization. Excluding acquisition-related bookings and FX and deferred tax effects, the adjusted return on capital employed stood at around 24%, again significantly exceeding our cost of capital. Let me now hand back to Reinhard, who will comment on our outlook.
Reinhard Ploss: Thank you Dominik. For the last quarter of our fiscal year, we expect revenues to increase by 3% plus or minus two percentage points. This assumes a rate of 1.2 for the U.S. dollar against the euro for the remainder of the quarter. The growth expected for ATV as well as for IPC is in line with group average. PMM should come in meaningful above growth average. CCS revenues are expected to decline. The segment result margin for the fourth quarter should come in at 19% at the mid-point of the guided revenue range. As a consequence, revenue for the entire 2018 fiscal year are now expected to grow by – between 6.4% to 7.4% against the previous year. At the mid-point of the revenue range, we guide for the September quarter, the full 2018 fiscal segment result margin should come in at 17.5% of sales. Our guidance for annual investments remains unchanged at around €1.2 billion. Depreciation and amortization, we continue to see at around €850 million. Ladies and gentlemen, let me summarize the key points for the third fiscal quarter. As in previous quarter, Infineon continues to see a very high order intake across a broad range of application and process. This gives us confidence in the strong fundamentals of our specific businesses. We are carefully monitoring macro indicators for signs of a possible slowdown, but as reflected in our guidance, we see unabated momentum. The direct impact of currently imposed and discussed tariffs on us is very moderate. A major effect would only result from a significant growth – GDP growth deceleration, which we are currently not seeing. What we are seeing is that our business is getting geographically more diversified, for example, with inroads into Japan that we are making in several segments. We are executing along the pillars of our strategy that we explained at our recent Capital Market day: growing our core business on the basis of technology leadership and highest-quality product; strengthening the score with adjacent fields based on our application and system understanding; leveraging our technology competency in new application and markets; consistently expanding manufacturing capacities, leveraging our unique 300-millimeter capabilities. Regarding the latter, our customers' reaction to our recently announced plan to invest into a new 300-millimeter fab at our Villach site have been very positive. This encourages us to capitalize on the long-term opportunities presented by the structural growth drivers of our target market. Ladies and gentlemen, this concludes our introductory remarks, and we are happy to take your questions.
Operator: Thank you [Operator Instructions] We will take our first question from Janardan Menon from Liberum. Please go ahead.
Janardan Menon: Hi, good morning. Thank you very much for taking my question. I have a question on the comment you just made towards your closing remarks, which is that you expect the PMM revenues to grow meaningfully above the group average. I’m just wondering what exactly is driving that. Are there any specific smartphone-related ramps that you’re seeing in the quarter, which is driving some of that? Or is it more the kind of business that you talked about before, which is the e-scooters and the service, et cetera? And I have a brief follow-up.
Reinhard Ploss: So, thank you Janardan for the question. I think Helmut will answer this.
Helmut Gassel: Yes, good morning. There is a regular, I would say, seasonal uptake coming up in PMM and the smartphone business. But generally, it’s driven predominately out of the power business again.
Janardan Menon: Understood. And then going back to the point you made about the tariff that you’re not seeing any signs of that, it’s unabated, demand that you’re continuing to see. I was just wondering if you could give us a little bit more flavor around that. Is it that – I mean, there seem to be carmakers who are saying that they are affected. They publicly said that, and they’ve also announced price increases in China and things like that. Is it that on an overall basis that you’re not seeing any effect, but at certain customers, you’re seeing some effect, which is compensated by strength at other customers? Or is it that even among customers that you might have made public statements? Or in your order book, you’re not seeing any kind of effect whatsoever.
Reinhard Ploss: Well, we have to differentiate between the various effects. Our direct imports from China into U.S. are very limited. So there, definitely, we see little effect due to the low volume there. The other part is how much we see in the automotive area. First of all, we do not see direct – the effect on the OEMs because we have the business with the Tier 1s, which averages out the effects of the various OEMs. On the other side, as we mentioned, we are very strong on a global basis, in Asia, in U.S. and Europe. So we should expect that a potential shift between the various OEMs might happen, but this might not affect us as strongly. We, as currently, see a strong trend to SUVs, which is in U.S. and other areas. So the net effects arriving at our company are pretty limited, and we expect that as long as the overall number of cars and the – with typical structure does not – will not be effected, we will not be affected either, only when the general sentiment of the consumer will change and people will stop buying cars that we might see. But as I said before, we currently do not expect that growth in automotive influence significantly by the number of cars sold. We even see a more or less flat market. The total growth comes from content, and we continue that this content remains high. Just as a reminder, the book to bill in this quarter was 1.6, and we believe that the content effects are strongly dominated. Therefore, the net effect on our business is minor.
Janardan Menon: Understand. Thank you very much.
Operator: Thank you. Our next question comes from Stephane Houri from Oddo Financial. Please go ahead.
Stephane Houri: Yes, good morning. I have a question about the book-to-bill number that you have given because in your preliminary remarks, you said that the customers, given the fact that some products are under allocation and they’re kind of unusual behavior. So looking at the PMM book-to-bill number of 1.8, what is the share, according to you, linked to this unusual behavior? And what would be a more normal book to bill? Thank you.
Reinhard Ploss: Stephane, thank you for the question. Helmut will take that question.
Helmut Gassel: Yes. I think we’ve already stated a couple of times that it is very unclear to us. It simply not possible to clearly distinguish between what is due to double ordering and what is true demand going forward. As a matter of fact, the longer the allocation period is lasting, a normalization of order behavior is to be expected at some point in time. However, I don’t think we are at this point. So we believe that there’s still a significant portion in double ordering, and we will only know once the market turns.
Reinhard Ploss: So [Indiscernible] PMM business generally is affected, so we cannot differentiate between more and less business as Helmut explained.
Stephane Houri: Okay, And I know it’s very early in the year to give the – an outlook on 2019. But what is the size or the – how will 2019 look according to you?
Reinhard Ploss: For Dominik, please.
Dominik Asam: Yes, I mean, on the Capital Markets Day, recall we guided for a 10%-plus growth based on a dollar exchange rate of $1.20, 17% segment result margin plus a little bit from operating leverage from OpEx. Now we have raised the guidance for the current fiscal year by 0.5% given the strong dollar we had in the current fiscal year. Of course, that bodes well for next year, but we don’t want to go into specifics right now. And obviously, the strong book to bill is, if anything, increased our confidence.
Reinhard Ploss: But my remark here for general understanding, our order books, even so, we will see some, let’s say, phase out in the case allocation will go back and business comes more to normal. We still believe that our order books will be strong enough in order to support this growth even in a more normal growth environment.
Stephane Houri: Okay, thank you very much.
Operator: Thank you. Our next question comes from David Mulholland from UBS.
David Mulholland: Hi, I’m just following up on the last question on book to bill. I think in prior calls, when you’ve made similar commentary, you’ve also said that you often take a bit of a haircut. So what you said I think you made in your remarks, you said you take some of the order numbers with a pinch of salt. So can you just clarify whether the kind of 1.5 book-to-bill number for the group or even specific within PMM, whether you have actually taken any haircut and kind of realistic view on what you think demand might be within what you’re saying in book to bill? And then secondly, I’m just thinking slightly longer term. There’s quite a few design wins that you’ve called out in terms of the automotive design wins for EV and on the center side and a few others. But a lot of those aren’t starting production until 2020. So given the success you’re having, obviously you’ve already guided quite strongly for 2019, but it feels like momentum is just building here. So can you give a comment on how you see – how confident you feel beyond 2019 as well given design wins?
Reinhard Ploss: Well, the second question will be answered by Helmut. The first, I’d take. The book to bill is, we do not haircut the book to bill. We report as it comes in. We haircut it when we put it in into the consideration of our future growth. Anyhow, our next year’s growth whether in significant portion of our business be limited to the ability to ramp capacity. So there is, of course, considering the reported book to bill a significant reduction of, let’s say, haircut to our growth outlook.
Helmut Gassel: Yes. With respect to the Automotive business, I think already in this quarter, we have stated that a significant portion of the Automotive business growth has been related to xEV, and that remains solid. So momentum for xEV, I would say, is remaining on a very high level as to new business wins. I think one of the highlights that Reinhard reported also was again on xEV. So I think it’s fair to say, as we have said before, that xEV and ADAS are good for at least 50% of our automotive group growth going forward.
David Mulholland: Thank you.
Operator: Thank you. Our next question comes from Johannes Schaller from Deutsche Bank.
Johannes Schaller: Yes, thanks. Two, if I could. I mean, you’ve been very clear on what you see in the auto business right now and that you don’t really see much of a slowdown. But just assuming we go into a scenario where there are less cars bought and you would actually see more of a unit slowdown than what we are currently see, and let’s assume actually the demand in your other segments stays pretty strong, can you give us a bit of an idea of how quickly you could accommodate and maybe adjust production to sell more into the other segments if we go into a situation where we have some auto production cuts at a more severe than what we currently have? And I have a second question. Thank you.
Reinhard Ploss: Okay, this question will be answered by Jochen Hanebeck.
Jochen Hanebeck: Yes, good morning also from my side. So the ability to – for structural change in our manufacturing sites is given to a good extent. However, there are some limitation when it comes to high power or sensors. But in general, I would say we are – we’ll be able to follow here the market in a pretty good manner.
Reinhard Ploss: And another point, Mr. Schaller. Of course, when we see a slowdown, I would say, a softer landing, let’s call it, or reduced growth in automotive because we still assume that even a reduction of numbers of car producer, we, I would say – over, would be compensated more by the content. We will guide our investments which are coming online in the right way that we are then shifting to the other business. And you had another question?
Johannes Schaller: Clear. Yes. And secondly, I mean, one of your peers in the U.S., Power Integrations, they talked a bit about some very recent order push-outs from distributors, particularly in the appliances and the white goods market, talking about an impact from the tariffs that we see on things like washing machine I think. I mean, in your major home appliances business, it doesn’t really look like you’ve seen anything like that. Can you comment maybe a bit on the specific situation you see there?
Reinhard Ploss: Well, the major home appliance, I think we see two effects. One is the structural growth of those and our market share situation. Our current market share is still on a lower part, and that is an opportunity to increase this. We have not seen significant or any pushouts in this area. We are, I would say, still in an extremely high load and allocation situation. There’s not really any effect seen on that. So on the other side, we have to concede. And in allocation situation, you will not see the market as clearly. But as we have not seen any effect in the order books, it is obvious that on the power side for the drive – I would say, that drives the market is still on the stronger part while I think the power supplies for major home appliances may be not specific to the inverterized home appliances, and the percentage of inverterized home appliances may continue to rise even on a net effect increase despite the total number may decline.
Johannes Schaller: That’s very helpful. Thank you.
Operator: Thank you. Our next question comes from Jerome Ramel from Exane BNP Paribas.
Jerome Ramel: Yes, good morning. Quick question on the allocation. Could you give us an idea where the lead times in terms of weeks from, let’s say, the longevity? And also, we have from clients that you increased prices in some specific area, namely the MOSFET. So what kind of price increase that you’re going through and when do you think the situation will normalize from a pricing standpoint? Thank you.
Reinhard Ploss: Yes. Thank you, Jerome. I think both questions will be answered by Helmut.
Helmut Gassel: Yes. In terms of lead time, I think we’ve already previously reported that in some product areas, lead times can exceed 26 weeks. Generally, we have an order confirmation window of maximum up to 52 weeks, and there is actually products that also are at that limit. So yes, order lead times have risen tremendously. And sorry, can you repeat the second question because I didn’t fully understand it?
Jerome Ramel: On pricing, we have some – from some of your clients as you increase prices, specifically from MOSFET, in the June quarter. Can you elaborate a little bit on the pricing environment?
Helmut Gassel: Well, I would say, quite usual. When demand is very high, it also has an impact on price. And therefore, I think it’s a direct relation to what the demand situation is going to be going forward. Right now, as you have just stated, the demand is still very strong.
Jerome Ramel: So just to be clear, should we continue to expect price increase going forward for your calendar Q4?
Reinhard Ploss: Well, I think here, you have to be considering that some of our price increases we put in place will become effective only in later time. The further development of prices will depend on the overall environment, which we cannot predict in detail because we do not know what competitors are adding capacity. Nevertheless, I think your – we will see that this effect on the prices will have a longer-lasting effect.
Helmut Gassel: Just probably to add to that point. The pricing in some areas, we have a firm agreements with our customers that are lasting for a certain period of time. So we’re certainly on our contracts in our cases. And last but not least, our price increases have been a function also of some substantial material increases from our suppliers. And therefore, has been a reaction to those. And of course, it’s not possible for us to understand what those are going to be going forward.
Jerome Ramel: Okay, thank you very much.
Operator: Thank you. Our next question comes from Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Deshpande: Thank you. Two questions, if I may. Firstly on the automotive market. Can we just talk about – I mean, IGBT and – I mean, the continuing design wins of your IGBTs into the auto electrification market. I mean do you see that leading model because there are multiple car vendors where you’ve already been deigned in? Have you had any further wins with major customers and the longevity of these IGBT wins? And then secondly, regarding the chip card. I mean this business did not grow or is not guided to grow this year, but do you have projects that will start ramping up into 2019 that will help the business grow into 2019? Thank you.
Reinhard Ploss: So Sandeep, IGBT, we continue to win business IGBT on a very broad basis. The longevity of this business is very typical for automotive. So it is designed in, in the model and will, from our point, not be changed in the modern lifetime. And our impression is all – that the people are so busy. This electrifying new models and provide a bigger base of models for hybrid or electric vehicle that redesigns unlikely in the near term. So we see this business as a pretty stable and a longer-term business. Also, people are understanding increasingly well that the source of IGBT on planet is limited and that electrification of the drivetrain depends on reserving the capacity there. So I think here, the business win with IGBT will go on. Nevertheless, as I’ve already stated, this is still a product segment with a margin, which we have to improve moving forward. Chip card, well, I think here, we are winning business, and I would say in many areas, the – especially in government and other areas is pretty solid. The payment market is still under pressure. And I think here, it is not about the winning business as a problem, but the general price pressure in this market. So we expect that the development of the chip card revenue mains in a more, I would say, difficult situation from the total boundary condition. Definitely, we are winning in the area of industrial IoT and TPM products, but this is – from the nature of the business, take off much more slowly than banking and SIM card product.
Sandeep Deshpande: Are you participating in the eSIM market at all?
Reinhard Ploss: The eSIM market, yes, of course, we are participating in the eSIM market, which, I would say, we put into the category, eSIMs for automotive. The e-car in Europe is driving the business quite strongly. And a similar application, but eSIM is also an industrial IoT application, which moves quite nicely. But as I said before, it is not a jump-start business. But here, we definitely can make a point based on the quality thinking in the company because these are products, which I have a lifetime of, I would say, typical automotive and industrial even longer.
Sandeep Deshpande: Thank you.
Operator: Thank you. Our next question comes from Adithya Metuku from Bank of America.
Adithya Metuku: Yes, good morning guys. I had two questions. So firstly, just on the revenue mix in the quarter with the strengthened PMM and IPC, which help your margins at the group level. I just wanted to understand, given the allocation situation currently in power products, was there an element of prioritizing higher margin and more profitable customers in these – in the PMM and IPC businesses that led to mix, developing the way it did? And my second question is just on the margin forecast for this year. You’re already raising your margin forecast for this year and only a month and half after your CMD. So in terms of your outlook – medium-term outlook for roughly 100 bps in segment result margin expansion, do you feel that there is an element of conservatism in there? And how should we think about that going forward? Thank you.
Reinhard Ploss: So Adi, thank you for the question. The first question will be answered by Helmut. The second, I leave to Dominik.
Helmut Gassel: We have a limited degree of freedom in any given quarter to change product mix to a different customer and higher-margin businesses. As we said before, some of these order lead times are 26-plus weeks. So if you have confirmed an order in 26 weeks from now, limited ability to adjust that, nevertheless whenever we do have an ability of cost for optimizing that. And – but in between, we have to honor our commitment.
Dominik Asam: Yes. On the longer-term margin development, recall in the Capital Markets Day, the logic was basically we jump off a certain margin and we currently run it. And then we add them gradually the one percentage point also, which is pretty much related to the economies of scale we gained in OpEx. These economies of scale in OpEx are, of course, still valid. And yes, we are jumping off a slightly higher base in fiscal year 2018. And as I said before, that bodes well for the kind of margin development going forward because it’s simply giving us a better start, a higher base to jump off, but it details as to how this will feed into 2019 guidance. I only want to give you November.
Reinhard Ploss: Well, one general remark I want to add here. Our strategy is not to optimize our business very short term. We also talk to the customers, and they understand that our long-term partnership has a significant value. So our current strategy is to optimize to a certain degree our current segment result, but in a significant portion also to secure long-term high-value business for Infineon, and they are completely – but knowing that this is the best way to go to Infineon for doing that.
Adithya Metuku: Thank you.
Operator: Thank you. Our next question comes from Tammy Qiu from Berenberg. Please go ahead.
Tammy Qiu: Hi, thank you for taking my question. So I would like to discuss margin a little bit. So Automotive margin for the first three quarters of the year has been below 15%. I’m just wondering what hampering it back to above 15% level such as drivers of more sophisticated business mix apart from FX movement. And also going forward, when you talk about autonomous driving and EV applications, are we seeing auto chips being more sophisticated, so therefore we can see a margin uplift there? And also in addition, will you move to silicon carbide? Are we likely to see margin going down from there because the market is kind of more competitive than IGBT? Thank you.
Reinhard Ploss: Well, thank you for the question. Dominik, please?
Dominik Asam: Yes. We are – in the margin, Q3 was a little of a rough spot for ATV in margin terms, and we think that already in the Q4 that margins should see an improvement, which is stronger than the improvement we see on a group average. So bear with us for Q4. And then I think it’s a clearer view. It is true though that, currently, we see our EDT business ramping fast and it’s still at relatively low volumes on the other hand, which means that the margin is not so great. So I think it’s wrong to extrapolate from that and thinking of layering EDT volumes on top of it, diluting our margins further from there. To the contrary, we think that, as we improve the margin while the margin in EDT, as we’ve stated before, is slightly lower than in the rest, given that we improve margin in EDT by virtue of higher economies of scale, we’re actually seeing some progress. So this is a key driver. And then obviously there’s some microcontroller design wins, which are going to be feed into the margin over the next coming years, and this is why we are confident that over kind of planning horizon, we can gradually improve the margin from the current levels. I would say that this year or next year is kind of a trough level, so to speak.
Reinhard Ploss: Well, I also want to comment on the EV side and the silicon carbide. Considering the situation the automotive industry is in, the hybridization and to a certain degree other EVs are facing the expectation of the consumers to get this at a similar price level compared to today’s combustion engines. And the situation here is that the price negotiations for the IGBT modules always had been very tough. So the competitiveness for silicon carbide is definitely not different, even so there are more people who raise their voice that they can become successful in silicon carbide. But I would say this is still something to come, and the cost situation for silicon carbide is way above the today’s IGBT segment. So we do not expect that silicon carbide will make the life more difficult in the EV than it is today. The ADAS development, maybe, Helmut, you comment on the margin development of ADAS.
Helmut Gassel: Yes. Generally, I think the power discrete business and probably including IGBT modules have been a tough spot, tougher than most of the IC space. And then when you look at ADAS, the – It’s generally in our terms, it’s in IC business. So therefore, average margins are higher in that ADAS space than they are in xEV.
Tammy Qiu: Okay. Thank you.
Operator: Thank you. Our next question comes from Achal Sultania from Credit Suisse.
Achal Sultania: Hi, Good morning. Two questions. First, on the industrial business. Obviously, you’ve seen – you’ve basically raised guidance for industrial revenue growth this year a number of times, and this market is quite fragmented. So can you just help us understand what’s in that industrial business? Which part is actually done much better than your expectation? Is it partly automation? Is it renewables? Any color on that would be helpful? And then secondly on the auto side, can you give us some sense as to what your exposure for EV and ADAS is if you were to look at percentage of sales of ATV? Thank you.
Reinhard Ploss: Achal, thank you for the question. So the industrial business, we see nearly in all of these areas grows. First of all, the area for drives and automation. There, we are seeing good growth momentum for a general positive development and the area of adding manufacturing capacity, which is after a long time of pretty flat automation business there one positive momentum. The next is the area of the small drives being in home appliances and air conditioning. There, we see two effects. First of all, the effect of the structural growth. That means more and more percentage of these systems are using inverterized drives. And the next is that we see that our offering, compared to other players in the industry where we have a slower market share, is pretty positive, including the overall system offering means, the controllers, the driver and the MOSFET. The area of renewables had been solid for quite some time, and it’s considered to continue to be solid. We do not see significant increases there, but this is growing since solidly. Then, we also see in the high-power area, which had been moving a little bit slower. That means area of trains, and the rest also a good growth rate. So basically, we can say we do not really have one segment in IPC is – which is, I would say, showing any lower growth or weakness.
Helmut Gassel: Yes. With respect to the share of EV and ADAS business, we have reported that we had 13% of the joint businesses of the ATV in the fiscal year 2017. And as we report, they are growing nicely also off of that base, responsible for the half of the growth of the ATV group. So that is still in the mid-teens currently, but continuously creeping up in share.
Dominik Asam: Yes, yes. I mean, please recall on the Capital Markets Day, we’ve really broken out the 2017 revenue base precisely. We even split, I think, into EDT and other separately. I think it was 7% of – because of the group revenues, 4% or was it..
Helmut Gassel: Total revenues.
Dominik Asam: total revenues, yes. xEV 4% of total revenues, which translates basically. And ADAS was 2%, so you get the split. And it’s true that dovetails with the 13% of ATV revenues if you put it together. And then as Helmut commented, you are growing at kind of mid-double-digit percentages like 50% or so in the current fiscal year, but we’re not going to split that every quarter. Bear with us for the kind of full year results, and then we give you some precise data again.
Achal Sultania: Okay. That’s clear, Dominik thank you.
Operator: Thank you. Our next question comes from Aleksander Peterc from Societe Generale.
Aleksander Peterc: Yes, good morning and thank you for taking my question. I have a – first question really on ATV, which is a little bit behind our expectations. And I’m just wondering why we’re not seeing the same top line beat and the growth, and same with margin momentum, I think PMM and IPC in the quarter. And you’ve mentioned some cost pressure in R&D in ATV. Is that going to go away as of Q4 already, as you painted briefly that Q4 ATV margin will improve? And then secondly, just on gross margins. Although we’ve seen some positive pricing trends to your end product in some areas, particularly in power, I’m wondering what’s offsetting that to the gross margin level at group level. Is it high input costs or other areas they’re diluting this positive pricing effect in power? Thank you.
Reinhard Ploss: The first question I will take. The second, Dominik. The ATV, I think we highlighted that one major effect on the current segment result situation of ATV is the significant growth or portion of the xEV, IGBT modules where – which we see a lower margin there. We will continue to improve this margin, but this is not done on a quarterly effect. This will take longer time. So we do not expect an effect on this improvement in the next quarter.
Dominik Asam: Yes. Maybe on the overall margin, that’s not only the R&D. The R&D is going to stay high in ATV because we are really pushing ahead. We’re charging ahead with our growth plans there. We do see a certain lift in ATV margins. As I commented, it will be an expansion margin we hope in the Q4 relative to Q3, which is higher than the group average. Now the longer-term gross margin development, you’re absolutely right. I mean, all these puts and takes like wafer prices, copper prices on the input side, also don’t forget the role of depreciation we have because of the strong investment to follow our customers' demand. They weigh on the margin first, but then there is some offset on the price side. And all these puts and takes are currently leading to the guidance. It’s all embedded in the guidance for Q4 you’ve received. And for next year, again, we’ll comment in more detail in November as we always do.
Aleksander Peterc: Very clear. Thank you very much.
Operator: Thank you. And our next question comes from Sebastien Sztabowicz from Kepler.
Sebastien Sztabowicz: Thanks for taking my question. On the PMD Technologies partnership on the 3D sensor, it seems that the active stereovision technology are beginning traction notably within the ongoing ecosystem. Do you have any strong technology IP with stereovision? And do you see any opportunity in this specific technology and market? And also coming back to automotive, how do you see short-term demand in Europe because it seems that Volkswagen will reduce production volumes by close to 20% in the third quarter. Do you have anything to offset that? And then also in China, in auto, we have seen a little bit the car inventories going up a little bit during the quarter. Could you make an update in the Chinese automotive market? Thank you.
Reinhard Ploss: So thank you, Sebastien, for your question. Stereovision is not an area where we’re active in. We are focusing clearly and let’s say, recognizing the 3D picture by a time of LIDAR as well as radar in a complement. Stereovision also would require to be engaged in a normal pictures, I would say, camera sensors, which we do not do. We see it as a complement and a sense of huge area, which we are engaged. The Chinese automotive market, Helmut will answer.
Helmut Gassel: Yes. Actually, the car unit sales growth in this year in China, so far, has been higher than what we had anticipated. And therefore, a slowdown in the second half of the year is not going to change our guidance at all. And don’t forget, last but not least, car unit sales has a lesser impact or much lesser impact on our revenue guidance than bond growth.
Reinhard Ploss: So the one question we did not get. Can you repeat your third question, please?
Sebastien Sztabowicz: It was on the European market and the short-term demand in Europe because it seems that Volkswagen far as could reduce its production volumes by 20% in Q3. And looking at the size that Volkswagen among European carmaker, it would have a big impact on European production volumes in the third quarter.
Reinhard Ploss: Yes, Jochen will take that question.
Jochen Hanebeck: So we see a stable order picture for automotive this quarter. Of course, there is a normal topics like the summer breaks. In addition, this is WLTP topic, but our order pictures is stable for the running quarter in automotive.
Sebastien Sztabowicz: Europe?
Jochen Hanebeck: Yes.
Sebastien Sztabowicz: Thank you.
Operator: Our next question comes from Guenther Hollfelder from Baader-Helvea Bank. Please go ahead.
Guenther Hollfelder: Yes, many thanks. Just one question left on the financial side. Income from investments, you had a negative €5 million. I think in the past, we saw the positive contribution from the Siemens bipolar joint venture here. Is there already an impact from the new China JV here on this line? What’s the outlook here going forward?
Reinhard Ploss: Mr. Hollfelder, thank you for the question. Dominik is ready to answer it.
Dominik Asam: Great question, thank you. Indeed, it was some kind of ramp-up type of cost, but you should not expect a loss at that kind of height going forward. It will be lower. It will be negative but very, very minor going forward as it ramps in. Even after ramping, of course, we’ll enjoy the harvesting of that ramp in the later quarters. But yes, you’re right, there was some kind of catch-up for the prior quarters, which was negative on the equity pick-up.
Guenther Hollfelder: And will you book also a positive contribution from the Siemens JV here in the fourth quarter? Or have you already booked something in Q3?
Dominik Asam: I mean, frankly, I don’t want to go into comments now on this joint venture, but it’s a very marginal thing. Anyhow, it was never a major contribution anyhow. So I think you can kind of happily neglect it.
Guenther Hollfelder: Okay. Thank you.
Operator: Thank you. And our final question today comes from Douglas Smith from Agency Partner. Please go ahead.
Douglas Smith: I was wondering if you could expand a bit on your commentary on winning business in Japan. Japan is obviously the home market for some of your competitors. Are you winning there because of your capacity that you have? Or is it technology and products?
Reinhard Ploss: Douglas, thank you for that question. We are winning in Japan because of several reasons. Both of what you’ve mentioned are very good reasons. I think here in automotive, we are winning in the ADAS segment quite well, which is I think technology-based. On the other side, it is also very clear that Japanese Automotive industries are looking outside Japan in order to touch base with the innovation capability of Infineon and most likely other non-Japanese vendors. And I think here, anyhow, it is very well known that the overall supply base in Japan has, I would say, shrunk to a certain degree and focus on certain areas, but we are strong in ADAS and in general power over them. We also are growing nicely for the IPC business where it’s, I think, again a matter of availability of products and deliveries and I think here other than understanding that the future growth require support who can ramp capacity as well as technology.
Helmut Gassel: I would just – Helmut here. Just to add one point, I think quality is a major differentiator in Japan. And I think we’ve been investing in improving our quality quite a time, and that is now being recognized as well. And this is now clearly being seen. And yes, we have received very positive feedback on our capacity expansion and long-term investment, so – especially the Villach of 300-millimeter investment have been highly recognized in Japan as well.
Douglas Smith: As a quick follow-up on that, the capacity issue. Is it the case that many established competitors are not expanding at the rate you are?
Reinhard Ploss: Well, we cannot comment on what the competitors are doing, but our impression is that the capacity coming online from others seemed to be currently lower than what we can. And long term, there’s very clear that you need clean room space to put equipment in, and currently, we do not see a lot of announcement in building new clean rooms from the competition.
Douglas Smith: Got it. Thank you.
Alexander Foltin: All right. With that, we would like to conclude this quarterly conference call. For other questions, feel free to contact the IR team here in Munich. Thanks very much for listening, for your questions. Have a pleasant and summerly day.
Operator: Thank you. That concludes today’s conference call. Thank you everyone for joining us. You may now disconnect.